Operator: Ladies and gentlemen, welcome to the Sonova Holding AG Half Year Results 2023-'24 Conference Call and Live Webcast. I'm Sasha, the Chorus Call operator. I would like to remind you that all participants are in a listen-only mode and the conference is being recorded. [Operator Instructions] At this time, it is my pleasure to hand over to Mr. Arnd Kaldowski, CEO.
Arnd Kaldowski: Thank you, Sasha for starting us off here. Good afternoon, everyone. Welcome to the half year results presentation from us for the fiscal year 2023-'24. In the room, I have Birgit with me, Thomas and Jessica from the IR team. We're planning to voice over the presentation call in 30 to 40 minutes and then we have ample time for the Q&A, which we know some already have registered their first questions. Page 2 is the regular disclaimer, which you are well aware about. Please take note of it. If we go to Page 3, before we go into the half year results, we wanted to use the opportunity to orient us all on the strategy, but also our continued conviction into our ability to drive profitable growth, because on the one hand, we see the opportunity in the market. And secondarily, we planned our strategy up in line with that. If we move to Page 4, not a significant change, but just wanted to reiterate, when we look at the market as well as our own position, we do see an attractive value creation opportunity for us as at Sonova. I think attractive market, yes, last year with a high inflation, we had unusual headwinds, which we normally don't see if it's a recession without inflation. But I think it's worthwhile to point out that our market is recovering faster than the general market for consumers. Significant penetration potential, continued growth coming from innovation to here better. And as we have also shared that EUHA, an increasing recognition now with medical evidence that the hearing loss and the compensation with hearing aids is linked to very important health challenges of our time, particularly around cognitive decline, which all will help drive penetration. Sonova with the leading market position, first in the broadest and most advanced product offering, but also from our distribution capability historically on the B2B, but as you see from our M&A going deeper and deeper also on direct consumer access, which we think is important to have. And then the last one I would point out here when we look at the strong financials, I translate that into ultimately the capacity to invest organic and inorganic, a strong balance sheet and cash generation if I compare with others in the industry, clearly a moderate leverage and long-term debt structure at low interest rates, which is quite important given the changes we've seen in an interest rate environment and the consequences for some participants, but then also the significant capacity for organic and inorganic growth investments where we see them supporting our strategy. So then on the market and us, if we move to Page 5, not a lot of voice over on the page. We use that now since a couple of years, but it should give you confidence that we trust our strategy and that we continue to march down this path. It should be adjustments, but on the highest level, we're quite confident that we're driving the right things. If we go to Page 6, I wanted to take a little bit of a step back here together with you. And I think it's fair to do this in the middle of a volatile market, which unfortunately, we've seen for many years now. And we hope after COVID that's over, and then we get into last year's new kind of dynamic for our market. But if we look at our ambition and our conviction, we think we are able to drive our mid-term targets. We see them as unchanged. And they are around driving above-market growth and margin expansion, if you look from a longer term perspective. We kept here on the left just as a sign of our conviction around and our mid-term targets to 6% to 9% sales CAGR and the EBITA being faster than that, translating into a margin expansion, and that against the market which we think in the long run is a 4% to 6% grower. On the right-hand side, and I will go a little deeper on the next page, just on how we've defined our focus on where our growth investment is going. Leading innovation for us falls into two buckets. There's how do we advance the hearing innovation along the lines of the products we know today and the benefits they provide, but also how do we expand the value for the customer beyond the known capabilities of a hearing aid. Clearly broadening consumer access in the B2B more the delivery of commercial excellence and the right coverage towards the customers. And then last but not least, probably not the most important in the next three years, but probably in the 5 to 10 years, how do we unlock the potential in high-growth developing markets. So that's the theme. And if we go to the next page, rather than what we historically do, sharing the one or other example of that menu, we wanted to give you a frame which is a little bit more explicit, where are the big buckets. And what are the buckets which drive somewhere penetration, share gain and value expansion. On the top, you see the five buckets I voiced over. So it's more relevant to go to the lower part, which we call the key growth drivers, and these are our focus areas. This is where most of our investments are going into. And these are the particular topics in which we believe we can drive above-market growth. When you get to the first one, we are currently very focused on elevating the core hearing performance by improving the processing power and algorithms. You've heard us talk about artificial intelligence eventually moving into the device in real time. So helping significant improvements on noise reduction for everyone who wears a hearing aid. This is not in the market today. We talk about understanding consumer value, the combination of what I would call technology-enabled medical services. Keep in mind that tinnitus app we have launched, all of those linked to the insights on comorbidities, no matter if that is tinnitus or cognitive decline, which I think will drive penetration, but also for the one who does it the best, an opportunity to grow share. And then the entrants in the early entry hearing devices, early innings, not just relevant for the U.S. in an OTC as a pathway to bring people earlier to the category and then move them ideally when they are maturing in their needs towards our regular hearing aid. I think not a lot of words I need to spend on broadened consumer access. We drive significant M&A, but also greenfield openings to reach more consumers in Audiological Care, and we are putting on top of that what's required in our eyes on the digitization towards omnichannel. Commercial excellence, clearly, the value-add we provide to the B2B customers; feet on the street, which we do as we go; and then commercial execution. And then when we look at the accelerated high-growth markets, no secret, the largest opportunity is China for us. There's two opportunities beyond the normal. The normal hearing instruments, we have a good market share, cochlear implants. We have a decent market share, which we need to expand while volume-based pricing is going to come. But if you look at the Audiological Care, most of the value in the Chinese market is in the [channel]. And in addition, I think with the Sennheiser brand, there's meaningful opportunity on the consumer audio side in China. So if you look at those five buckets, this is where we put our focus and our energy. We do believe that each one of them in the long run has a potential to be accretive over market in the range of CHF100 million, that's why we raised them here. But we wanted to give that frame, so then when you try to decide, you believe that we can grow above market, you know where we're focused. Page 8, last one on the strategy. I think here just a very high level recap on the ESG. We've made further progress in the first half year. Three key dimensions I want to highlight. Strong progress of internal and more diverse leadership development. And you can see the numbers here nicely going up on the diversity in middle management and senior management, strong internal fill rate for our leadership positions. On the CO2 side, our science-based CO2 reduction targets have been approved and we're on the journey and we made good progress in reducing our CO2 footprint. And last but not least, as a proof point, our continued high ranking in a positive way with regard to industry-leading sustainability ratings. Sustainalytics has reconfirmed us to be in their ranking the number two out of 200 medical device companies just recently. So ESG clearly a priority for us, not just in mind, but also from the execution perspective. Now allow me to dive deeper in unpacking the first half year. Many things happening. Therefore, we will try our best to unpack the most important ones. If we go to the first page here, how we look at the first half year from our vantage point. I think on market, clearly, the volatility as we had laid out in May, a slowdown in second quarter, a reacceleration in the third. If you look at the top 12 markets in the world where we have unit volumes, the sum of the two was about a 5% growth year-over-year, almost flattish Q2, Q3, a nice pick-up towards 9%, particularly driven by North America and a couple of other European markets, muted in the sum of Europe, particularly because of France and Germany, not so much a macroeconomic discussion, but more regulatory changes in the market. U.S. in the first half year, and that was expected given some headwinds we have discussed and also flagged when we came into the year, muted sales and profitability development still a half year of being held back by the non-renewal of a large contract. We had operational challenges in Hearing Instruments business. The good news, over the course of the first half year, they faded. We made good progress in improving those in the eyes of the customer. And we expect those operational effects to reverse on second half year, allowing us some pick-up of market share even if we're not having a new platform launch this year. If I look at the positive side on what we have accomplished, clearly ASP lift, particularly in HI and AC. I talked about the regained positive momentum in HI. Net Promoter Scores are improving over the last two quarters. The customer feedback is positive. And then clearly, a strong execution in growth in AC, organic and inorganic, as you have seen from most likely the pre-read you did. And then the continued focus on executing our strategy to a degree, code here for, we have not stopped to invest at the areas where we wanted to from our strategy execution perspective. So those positives allowed us to grow in Q1, but just a little bit despite the headwinds and realized margin expansion in local contribution margin. But if we now look forward, we want to build on this positive momentum. We do increase our investments into supporting this positive trajectory in HI and AC to accelerate the sales into the second half year, while we're expecting to see continued margin expansion. If we go to Page 12, that's just kind of the high level on the numbers. As always, you see the growth, 1.6%, a significant headwind from a Swiss franc development, unfortunately more than what we had predicted in May. The EBITA is slightly higher in its growth than the sales, translating to a margin expansion of 20 basis points in local currency, but harder hit even on the Swiss franc, a good EPS development in local currency. And then if you look on the right, sales outlook confirms for the year, given the positive momentum we've seen throughout as well as the focused drive here from doing the right thing from an investment perspective. You can see a slightly revised EBITA outlook. What are those investments in our mind, predominantly in the current market environment where many retailers struggle with consumer confidence, we have seen that we need to spend more to create lead generation, particularly where we're direct to the consumer, no matter if it's in CHB or if it is in AC in order to bring new customers to us. And then on the other hand, while we're navigating through this year with lots of puts and takes on price, we are appropriately flexible at the places where we need to in order to keep customers or win customers. So that's the change here in the frame. If we go to Page 13, we'll not voice over all many of the numbers I said already, but a soft start into the year, a strong performance in Audiological Care, helping to offset the expected headwinds in HI and CI group. I think I voiced everything over. If you go to the Hearing Instruments, you see the growth, minus 4.3% in local currency, but up 2.4% if you adjust for the large U.S. contract. Clearly held back not just by the contract, but the temporary operational challenges. But as I voiced over business starting to regain positive momentum. Looking at the Consumer Hearing, we would call that at market. It's a very different dynamic in the Consumer Hearing business. We're attached to the consumer electronics. What we see from the peer group is flattish to slightly down. So I put the minus 1.9% at market. The positive news around it. Last year, we had a lot of product launches in first half year this year. They are coming in the second. So I would say, after a strong growth year last year, we're holding share in a difficult market, expect help from the new products, which we launched in September and some more to come in the Q4 of our fiscal year. Audiological Care, you see the 11.5% in LC. Good growth. Half of that coming from organic, so good execution operationally. But also, half of it coming from M&A. These are bolt-ons plus HYSOUND. A comment here on HYSOUND, we're really happy with the first half year. I think obviously we were fortunate buying in December because afterwards the market opened up again, but our growth is clearly above market in the first nine months since we're together. It's a combination of HYSOUND being a high-quality company. And at the same time, us linking our lead generation capabilities in China, which we have created over three years with that company. And then Cochlear Implants, a little bit of a soft spot here in our performance, down 0.9% in LC. On system sales, we were up to 8%, but the upgrade is now more than two years after the launch are turning negative because we've gone through most of the patients who were waiting for the processor from an upgrade perspective. Keep also in mind, our largest competitor has launched a new product nine months ago, and that's always headwind for us. Page 14, just a depiction of the sources of growth. You can see the organic as voiced over, slightly negative. If you correct for the lost contract, we were on plus 3%. And then you see the very significant headwind coming on the FX on the right-hand side of the chart. I'm going to pick up pace here. You can see the regions and key markets. I think if you go through good growth in our key markets in Europe, there is quite some weakness in the U.S. Keep in mind, that's where the large contract was, but it's also the area where we kind of lost the most momentum, but are also now regaining most of the momentum on the market share side in Hearing Instruments. I think Asia impacted quite some by HYSOUND, but overall, still a good performance. In Europe, some markets with very good growth for us, Germany, Belgium, the Netherlands and Poland and Germany, mainly driven by our Audiological Care, but then weaker development in France, Italy and Sweden. If we go to Page 17, hopefully a help for how we depict the numbers here. You can see the different growth rates, you've seen them before. I think voiced over the segment sales components already. I think the big positive for me on the chart in addition to the Audiological Care business and the growth rate is actually the segment profitability with 50 basis points in local currency. We did benefit from lower component costs and last year's pricing initiatives. There is a significant shift mix when we have such different growth rates between HI and AC. And keep in mind, our AC is -- has good profitability relative to peer group, but is meaningfully lower than the Hearing Instruments side. So we needed to make all of that up in productivity, price and other elements. So I think really impressive result here with 50 basis points given the shift mix between the businesses. If we go to the Page 18, some incremental comments on the Hearing Instruments business. I think we were very focused in the last nine months to not just improve the reliability, which we were able to do pretty quickly because it was a temporary issue last year and Lumity was always 30% better than the Paradise. But that then requires a lot of communication if customers are concerned. And at the same time, we had some issues with regard to delivery and others. We fixed those. The Net Promoter Scores are improving. But as you can imagine, trust is harder earned than lost. So we're on the journey of recovering the trust, but with a good improvement quarter-on-quarter on Net Promoter Score. If we go to the Consumer Hearing business, which I haven't voiced over as much. I voiced over the performance in line with market despite the new products. Happy to have the early entry hearing product out in OTC, early innings, positive feedback on the product, not a significant revenue because that market segment is still small in the United States of America. Launched new products, ACCENTUM Wireless in the end of September, which should help us drive some incremental revenue and expect more growth to come out of new product later in the half year. And then Page 20, Audiological Care. Really a strong story, not just on the growth side, but voiced over HYSOUND. We are focused working on how do we improve optimization of the store efficiency. Christophe has voiced that over a year ago with you, how do we increase our share of wallet. We have added about 80 POS, the majority in bolt-on acquisitions, some of them greenfield. And I voiced over some of the digital omnichannel ecosystem at EUHA, but all of that is going on, while we're growing the business significantly. Page 22, Cochlear Implants. I said it, more of a soft spot here, one which we have work to do. Sales, I voiced over the dynamic system sales versus upgrades. If you look at the EBITA, quite a step backwards in the margin expansion with minus 400 basis points. Unfortunate, not so much lack of price or which we held are driving not so much cost structure, but really significant elements of geo mix shifts in the sales we have seen. We also had some supply issues, which ultimately delayed some of the sales, but also created extra cost, which we have been through the past due. On-time delivery is at normal high levels now, but it did impact us throughout the first half year. With that, I want to hand over to Birgit on Page 23 or 24.
Birgit Conix: Hi, everyone, and also a warm welcome from my side. So if we go to the Slide number 24. Here, I think Arnd has already discussed most aspects. So I will focus on providing you with further insights into the drivers of our profitability, the cash flow and also the balance sheet. So let's immediately proceed to the next slide that presents more in-depth information on the gross margin progression. So what we can see here is that our gross margin reached 71.6%. And this represents a strong year-over-year improvement of 280 basis points in local currencies and 200 basis points in Swiss francs. And this improvement was entirely due to organic factors. So firstly, the prior year price increases, which were implemented to offset the inflationary pressures. And then second, ongoing operational improvements. Then third, higher growth of our Audiological Care business, and as you know, at a higher gross margin. And then lastly, continued easing of the headwinds from components and freight costs. And this was then partly offset, as you can see here on the chart, by the currency headwinds with the strengthening of the Swiss franc. So let's then now discuss the progression of the operating expenses on the next slide. So here, you see the adjusted operating expenses increased by 7.2% in local currency to CHF950 million. And on the previous slide, I presented a positive impact on the gross margin from the shift in business mix due to Audiological Care. And in operating expenses here, you have the opposite effect because our Audiological Care business has higher sales and marketing expenses as a percentage of sales compared to the Group average. And this effect, combined with further investments into sales and marketing to drive growth, led to a 4.3% organic increase in OpEx, as you can see here. And then additionally, the expansion of our store network, including also the acquisition of HYSOUND in China, resulted in increased operating expenses by 3% due to the impact of M&A. Then the currency development reduced the operating expenses by around CHF45 million or by 5.1%. And considering that foreign exchange had a greater impact on our top-line, and most notably by 6.7%, the adjusted EBITDA margin experienced a negative influence of approximately 100 basis points. So let's now move to the next slide, which provides details on the development of different components within the operating expenses. So here, R&D expenses, you see that they landed at CHF116 million or 6.6% of sales. And so this is largely unchanged versus prior year. And we have maintained a high level of investments in R&D to enhance the core hearing performance and enabling us to drive impactful innovation for our consumers. Then the sales and marketing expenses, they increased by 8.2% in local currencies with more than 3/4 of the increase attributable to acquisitions. And additionally, we maintained our investments aimed at driving growth. And as mentioned by Arnd earlier, we will continue these efforts to sustain the positive sales momentum and to achieve a substantial acceleration in sales growth during the second half. Then moving to general and administrative expenses, they were up 10.8%. And this increase can be attributed to various factors, including the rise in energy and maintenance costs due to the high inflation, but also due to the harmonization of merit and pension plans following a number of larger acquisitions. And then as a result, the total OpEx increased by 7.2% in local currencies .I will address these adjustments in a moment, but first, let's consolidate all the information and look at the EBITA development for the first half year on the next slide. So moving from left to right, the adjusted EBITA demonstrated a growth of 2.5% in local currencies. The organic EBITA margin shows a favorable improvement of approximately 60 basis points. And this can be attributed to the earlier mentioned significant improvement in the organic gross margin, which was then partially offset by the higher growth in operating expenses. And then on the flip side, acquisitions had a margin dilutive impact of 40 basis points. So to summarize, these factors led to a slight improvement in the adjusted EBITA margin when measured in local currencies. And then the adjustments resulted in a reduction of the EBITA margin by 90 basis points, and I will discuss these adjustments shortly. And then currencies, as you can see here, remained a significant challenge, impacting not only sales, but also profitability, which led to a reduction of CHF57 million in the reported EBITA and a decrease in margin by 180 basis points. So to summarize, this led to a reported EBITA margin of 19% when measured in Swiss francs. So let's proceed to the next slide where we will review the key financials for the Group. So since we have already discussed the increase in gross profit and adjusted EBITA margins, let me now shift my focus towards some other items. So both acquisition-related amortization and net financial expenses were largely stable compared to previous period. Income taxes totaled CHF44 million, as you can see here, resulting in an underlying tax rate of 15% compared to 15.5% in the previous period. Then adjusted EPS of CHF4.34 was up by 8.1% in local currencies. And in addition to the business results, the growth in EPS was boosted by the lower tax rate and also reduced average number of shares resulting from the share buyback in the previous year. Although the adjusted EPS experienced growth when reported in local currencies, this increase was offset when reported in Swiss francs, resulting in a reduction of 11.3% compared to the aforementioned growth of 8.1% in local currencies. So now as I promised, let's delve into a bit more detail regarding the adjustments. Total adjustments recorded were CHF16.7 million, representing an increase from the CHF6.3 million last year same period. And out of these adjustments, restructuring expenses amounted to CHF10.2 million, and these were primarily associated with our ongoing structural optimization initiatives. And this also includes the establishment of our new operations facilities in Mexico, which is now operational and has commenced production. In addition, we incurred transaction and integration costs amounting to CHF6.5 million, predominantly linked to the three major acquisitions we made in the past two years, namely, HYSOUND, Sennheiser Consumer division and also Alpaca. As anticipated, we expect elevated restructuring and integration costs of around CHF30 million for the fiscal year '23-'24.So let's then now look on the next slide at the operating free cash flow, so Slide 31. So our cash flow progression was equally affected by the strengthening of the Swiss franc. And the first two bars from the left compare operating free cash flow before changes in net working capital at the same prior year exchange rates. And as you can see, this number is at similar levels, namely, CHF341 million compared to CHF345 million last year. And then the operating free cash flow before changes in working capital then ended after converting at this year's exchange rate ended at CHF280 million, and therefore, declined by CHF65 million, of which, as you can see, CHF61 million were related to the aforementioned FX. CHF8 million were due to higher cash tax payments and some CHF4 million were related to other effects. Then next, we improved our cash outflow from working capital by CHF15 million. But here, it's important to note that last year's figure has been influenced by the accumulation of working capital associated with the acquisition of the Sennheiser Consumer Division, as explained last time. Then CapEx was CHF16 million lower compared to the prior year period. And that was when last year it included a step-up of investments and that was after the reduced levels during the pandemic. So to summarize, this led to an operating free cash flow of CHF151 million compared to CHF185 million in the first half of last year. So then now let's look at the balance sheet on the next Slide, 32. So our DSOs stood at 57 days in comparison to 52 days in the previous year and 54 days at the end of the fiscal year in March. And despite our strong emphasis on collecting receivables, there has been a slight increase in this number. The calculation is based on our three receivables at the end of the period. And the main contributing factor to the increase was the improved sales momentum towards the end of the first half period. Then next, our DIOs stood at 162 days, up actually only slightly compared to last year. This can be attributed to the presence of elevated safety stock, partly due to the transition to our new operations facility in Mexico. And then capital employed increased by around CHF300 million compared to a year ago and by around CHF75 million since March. And both the period end year-over-year increase as well as the average year-over-year increase to calculate ROCE was primarily driven by acquisitions, mainly higher goodwill as well as an increase in net working capital. And when combined with the lower business results in Swiss franc, this led to a return on capital employed of 18.9% compared to 23.4% from a year ago and 20.8% in the '23-'24 financial year -- sorry, no, last year. And then the net debt increased year-on-year to approximately CHF1.7 billion, primarily due to the acquisitions made in the last 12 months and a decrease in cash resulting from the impact of foreign exchange. And then this results into a net debt to EBITDA ratio of 1.8x. This is above our target range of 1x to 1.5x. And this increase was anticipated and primarily driven by seasonal factors experienced during the first half, which included the payment of dividends. Then our long-term debt has an average tenure of five years with an average fixed interest rate of 1.12% and our first bond is maturing in October 2025.So then let's take a look at the next slide, the capital allocation, which remains largely unchanged. So our cash deployment strategy of CHF70 million to CHF100 million per annum for bolt-on acquisitions remains in place. So we spent around CHF60 million in the first half. Then we maintained our payout ratio of around 40% with the most recent distribution being a payout of 41%. And then the leverage target of between 1x to 1.5x, as I already mentioned, remains unchanged, and we anticipate reaching this target in the second half of the year. And then as announced during the full year results presentation in May, no shares have been repurchased during this reporting period as our primary focus remains on achieving our leverage target and maintaining a healthy balance sheet. So I will now thank you. I will now pass the floor back to Arnd.
Arnd Kaldowski: Thank you, Birgit. Just one more page to go before the Q&A. On the outlook, particularly where we have significant swings between first half and second, we like to provide a little bit of a list of bridge items, I got it that way, and that's what you see here. I will not go through all the bullet points, you can read them. The recap for the first half year, I think I voiced them over, important for us that on the one hand we see an acceleration in the market Q1 to Q2 and a good October and at the same time an improving momentum in our Hearing Instruments business. Looking on the considerations for the second half. I think we have the foundation for the positive development in the market, but there are still uncertainties in this macro environment. We do expect market share gains in Hearing Instruments, driven by the operational improvements. Worthwhile to note the large client contract has annualized a loss of it. We do expect continued solid momentum in AC, organic and inorganic. And then on the Consumer Hearing side, benefit out of the new product in the second half. And then last but not least, to support this growth, the higher investments in HI [Technical Difficulty]
Operator: [Operator Instructions]
Arnd Kaldowski: Operator, are we still on line?
Operator: We are on line, yes. You may continue.
Arnd Kaldowski: Did you hear my voice over on Page 35?
Operator: Yes, it's interrupted. Maybe can you repeat, please?
Arnd Kaldowski: Okay. So last comment here, you see the guidance for the 2023 unchanged on the sales growth, revised by 2 percentage points on the adjusted EBITA growth. And then our conviction towards the mid-term targets. With that, I want to open it for questions.
Operator: [Operator Instructions] The first question comes from the line of Daniel Buchta with ZKB.
Daniel Buchta: Yes. Two questions from my side. The first one maybe on product news flow. I mean, obviously, at the EUHA, two of your competitors launched new products. You have launched in August, the power and patriotic version of the Lumity. Can you say a little bit on how you expect things to go here, especially given those product flows from competitors? And also, I mean, demand is still performing reasonably well with their hearing aid platform. And then the second question on the market environment. I mean, if I remember correctly, Q4 -- calendar Q4 last year was extremely soft in terms of unit volume growth, which would speak probably of being a very good quarter for the whole market now. Is there anything you're seeing why that may not be the case or is it fair to assume that Q4 should be a very strong market momentum?
Arnd Kaldowski: Daniel, thanks for the question. On the product news flow, yes, it was what we all have seen at EUHA. I think we continued to see good growth on the product extensions we've done. We also see that that continues to allow us to get back into some of the accounts where we have lost some share of wallet. I think not a significant shift in momentum from the new product launched there with all due respect. And then the demand one was launched more than six months ago. That's normally then leveled in the regular growth side. I think what we have seen on the market side is still good numbers in Hearing Instruments sell-in. What we do see, hence, also our comment on the required investment, it is more work, and therefore, more investment to get new consumers into the stores predominantly because of the, let's say, crowding out of other people trying to get the marketing space. But no significant change to the trend lines. Europe, slightly improving. France had a first month of a positive number. Germany is picking up. You could probably say North America may slow down a little bit from the high numbers they had.
Operator: The next question is from Al-Wakeel Hassan with Barclays.
Al-Wakeel Hassan: This is Hassan Al-Wakeel from Barclays. I have three, please. So firstly, on guidance, you're not signaling the lower end of the range. So you -- can you talk about the bridge to 8% top-line constant currency growth for the second half from around 2% in the first, which is what is implied at your midpoint? How much of this is from an EU recovery share gains and pricing, if at all? And what was underlying H1 growth ex-Costco? Secondly, on pricing. You obviously took pricing last year and you've been vocal about not raising price this year given some of the share issues that you had. How do you see pricing over the coming year? And are we seeing a reversion to the normal pricing pressure in the industry? And could you be more aggressive on pricing or discounting to support share gains? And then finally, can you talk about the margin bridge from the first half to the second half, given some meaningful margin expansion is expected on a reported basis? And whether the lower end of this range is more likely?
Arnd Kaldowski: So from a guidance perspective, I think we keep the guidance where it is. Therefore, the midpoint is mentally the midpoint. If you look at the bridge, you're going from 5% to 8% at midpoint, 5.1% is what I shared corrected for the contract loss. So you need to bridge about 3% points. I think there is a good change on the Hearing Instruments quarter-over-quarter, which does a significant part of that lift. We do expect some improvements on the Consumer Hearing side, and we do expect, I think, AC to be in the same zip code. Keep in mind, last year, Q3 was weaker, Q4 was stronger. So that's probably a wash there. On the pricing side, I think we feel we're at a good place with the general prices we have. I think we will decide in specific account situations, if that gives a significant advantage. But we don't feel disadvantaged right now and rather focus on the value discussion overall. I think we've seen other people increase their prices step-by-step in the last six to nine months. So not a lot more to be said at this point of time. But as you heard me say, we're willing to be sensitive for the right situation. On the margin expansion side, I think, first, volume will help. We always have the second half being meaningfully stronger in revenue, particularly on the Audiological Care side, also on the Consumer Hearing business side. So you will see quite meaningful fall-through there. Otherwise, you see our continued efforts to drive productivity. So in that regard, it's really predominantly a volume fall-through discussion in regard to the margin expansion. And it's not an unusual one for us between first half and second half.
Al-Wakeel Hassan: That makes sense. If I can just follow up. You mentioned you've seen some good quarter-over-quarter improvement in HI. It'd be helpful if you could just talk a bit about the share picture in some of the key markets and channels and where you're seeing gains, stability or losses and how you think that will trend into calendar '24?
Arnd Kaldowski: Yes. I think I would lean as far out to say that we're seeing a good recovery in the U.S. And otherwise, I would not like to go into single country discussion, if that's okay.
Al-Wakeel Hassan: Perfect.
Operator: Next question is from Oliver Metzger with ODDO.
Oliver Metzger: Yes. I have two on China, please. So basically, you consider China as a high-growth market. So can you drive deeper on the market dynamics? So for years, we have seen very fast growth, and at the end, endless opportunities. Now we hear even some more cautious comments on the Chinese development. So the question is, what do you see as the general macro headwind in China? Or is there any impact on the hearing aid market? And the second, you made a comment on the volume-based pricing in China that you expected to come. Can you give us more details about your expectations, time line, et cetera?
Arnd Kaldowski: Oliver, thanks for the questions. So on China, we spent a lot of time thinking China through before we made the acquisition of HYSOUND. And I think there's two very significant drivers over the next couple of years. And keep in mind, China is at best at 3% penetration of people with a hearing loss. And over the next 10 years, we expect 65% more people above 60 years. And at the same time, we expect 60% more people above an average household income of CNY 30,000. That's just based on all of the statistics existing. So I think we're less focused on the GDP being 6% or 7% or 3% to 4%, whatever the number is. I think we focus on our target audience and there are significant potential .Keep also in mind that the Chinese government is very focused on what they call quality growth, and they translate that into better health care, and at the same time, helping the elder population to be longer productive. So I think all of that is a positive environment for us. I think for us collectively as an industry and us as a player to unlock the potential, you need to be close to the consumer. You need to drive awareness. You need to offer a good service offering in the channel, and you need to have the hearing care professionals. And I think with HYSOUND, we have the ability to build that over the years. I think the next one, two, three years is in the normal growth rate. I would venture to guess if we do the right things, we can probably accelerate the growth when those elements are in place. On the volume-based pricing, probably the first comment from all we see. This is only relevant at least from all information and all indications of the government for our cochlear implant business, which is not unusual because VBP is mainly focused on the government reimbursed and on the hospital-based side. We have the advantage here that, A, our cochlear implant business is not so large. And secondarily, we are underrepresented in the Chinese market. We always played more on the private rather than the governmental side. So our exposure at Sonova overall is significantly below a percent of our total revenue is CI China, right? So put that in perspective. Now if you want to get our read on what's happening there, it's a question of timing right now. The government has planned at the end of this year. This may slip by a year that they introduce volume-based pricing. The price points are not clear, lots of arm wrestling and discussions going on. But I think eventually, we are going to see the public side of the cochlear implant market under VBP. We will then need to decide how do we play the private versus the public side. So there are volume potential given that we're underrepresented in share, which can help out on the price pressure out of the VBP. But big picture, a small number for us on a group level in revenue exposure.
Oliver Metzger: Okay. So you don't see any impact on hearing aids or any...
Arnd Kaldowski: We have no indication on that in any discussions we were involved so far. And the mechanism is, from our vantage point, more on governmental spend. Hearing aids in China to a vast, vast degree out of pocket pay.
Oliver Metzger: Okay.
Operator: The next question comes from the line of Hugo Solvet with BNP Paribas.
Hugo Solvet: I have three. First one, can you give a bit more color on the phasing for growth throughout H1? You mentioned a good improving business momentum in October. Just wondering what has been the phasing for both sales growth and margin and what's the exit rate for Sonova in October? Second, on the long-term guide, 6% to 9% and in organic terms, as you put them on Slide 6, 5% to 7%. This is probably 1 percentage point just above the market and less optimistic than some of your competitors' ambitions. So can you share some thoughts here on why you would only be able to outperform the market by 1 percentage point? And lastly, on Slide 7. Just want to spend a bit of time on the key growth drivers, CHF500 million in combined sales. Can you give us some timing to realize that, which ones you're most excited about? And are they included into the long-term guide of 6% to 9% growth per year?
Arnd Kaldowski: So it was -- I need to look on the note here, phasing H1 growth in sales and EBITDA. I think clearly, the Q1 was meaningfully lower in top line, and therefore, in bottom line than the Q2. And in that, we've seen the pickup of, A, the market, as I shared, at least on the published data for the top 12 countries, it was quite different with 0% growth and 9%. And we did see some pickup on the back of that. So even more pronounced in our own numbers. And then that has an impact from a fall-through because the cost structure has not dramatically changed. I think on the long-term guide, this is what we shared, I think, two years ago. We wanted to make sure it doesn't get forgotten. I think from a growth perspective, I would look at this, if you look at the 4% to 6%, which we showed below that were going to be 1.5%, 2-ish-percent above market. So in that regard, I look at that as an average commitment to grow above market. I wouldn't be in a good position to comment on why other people see higher numbers, maybe that they have a higher market growth in there. But I would focus on the delta between our midpoint market versus what we think we can go do. Keep in mind, this is with bolt-ons and greenfields, but not with larger M&A, right? That wouldn't include an Alpaca or a HYSOUND. That's single items, we can't predict those. On the CHF500 million, I think, call it, three to five years. Is that reflected? Yes. I think you need those drivers in order to grow. If it's 2% above market, it makes it 10%. So you're getting close to our CHF4 billion and the CHF500 million or so if you take a five-year horizon. So I think leave us some space in the execution of those to also sometimes exceed our own targets. But in the sum, these are the big ones. You asked what we're most excited about. We're excited about all. But if you would ask for where is the biggest kind of lift, I think strong innovation is one, and the other one is just based on the greenfields and the bolt-ons we do on the consumer access, right? That's the two biggest ones amongst the 5.
Operator: Next question is from Veronika Dubajova with Citi.
Veronika Dubajova: Arnd, Birgit and Thomas. I also have three, please. My first one is just -- apologies, I'm going to push you because I think all of us are trying to understand because you report only half yearly, just the degree of improvement that you're seeing in your momentum. If I look at your peers, if I look at the numbers we've seen out of GN, if I look at the numbers we've seen out at of Demant, frankly, their growth rate second quarter to third quarter of the calendar year didn't seem to change dramatically, yet you're telling us that your momentum is improving. I don't know, Arnd, if you're comfortable sharing sort of what the wholesale growth was in the second quarter of your fiscal year? Or maybe the run rate that you're seeing in October and November to date. It's just quite hard for us to see given the period, but I would appreciate some color. And maybe just related to that, where do you think those share gains are coming from given that the GN and Demant growth rates still seem really robust at this point in time? My second question is on Costco and your desire and likelihood of returning into that channel in the foreseeable future and how those conversations are progressing? And then if I can, third one for Birgit on the free cash flow. Still, I think -- thank you for the explanation in your prepared remarks on sort of the DSO dynamic. But given the fundamental strength in the retail business, which obviously has a much lower of receivable and inventories requirement, I'm just a bit surprised by the working capital movements this half year. And curious if you can give us any insights into what your expectations are for the back half of the year? And when should we see some improvement in the free cash flow generation in the business?
Arnd Kaldowski: Veronika, thanks for the questions. So I'm not so comfortable to give quarterly growth rate because [Technical Difficulty]. I can say that out of the five largest markets, we move to winning share in four in Q3 over Q2 and that does include the U.S. So it is interesting, obviously, to observe our competitors. Keep in mind that half of the universe you don't see, which is the WSA and the Starkey. I don't see either. So -- but we need to keep in mind that there's also different participants. I think mechanically, what we see is that we have a meaningful number of customers come back who have reduced their purchase with us or went back to not purchase for a period of time. So it's clear to me how that is linked to the improvement from a Net Promoter Score perspective. Therefore, I think I know pretty well how we're doing with regard to that pickup and this really has to come from somebody else, right? But it does come from different competitors, right? I can't tell you how they are doing amongst each other. I think from a Costco perspective, nothing has changed relative to when we were at EUHA and what I'm able and willing to share. I think we have said, clearly, they are a large customer, they're also having attractive growth, and they have ultimately an attractive margin because it's a U.S.-based pricing and as much as it's a wholesale large customer, it's still attractive from the profitability fall-through. I think, ultimately, they do like our technology and they like our capabilities, but we're not at a point where there's anything we would share beyond that. Birgit, on the working capital side?
Birgit Conix: Yes. So here, Veronika, so it's also a bit based on the calculation. So it's -- actually, the -- those are calculated based on really one point in time, I mean the end of September and then divided by the 12 months rolling. But if I look at prior year and I look at the pickup in sales, and it is both Audiological Care and HI, then there is a significant -- I mean, if I compare the two periods, then it's almost double the increase, if I look at it. So that's really where it's coming from. And you're right, if AC has a larger proportion, then that helps us on the DSO, but even including that impact, we -- that was the majority of the explanation actually.
Veronika Dubajova: And would you expect the working capital to come down as we move into the back half of the year? I guess, do you have any guidance for what we should be thinking about in terms of DSOs for fiscal '24 year-end or fiscal '25?
Birgit Conix: Yes, this is really one of our focus areas. And actually, we're making some improvement, but not yet how I'd like it to be. So it will further improve during the course of the second half. And if you look at our cash conversion, it's typically lower in general in the first half versus the second half. But that's just what we always have seen. So yes, the expectation is that we see an improvement.
Veronika Dubajova: Great. And apologies, Arnd, because your audio was slightly unclear at the beginning, you said you don't want to give the quarterly growth rate, but you won't share in four out of five geographies. Is that right?
Arnd Kaldowski: Yes, in four of the five largest countries.
Veronika Dubajova: Okay.
Arnd Kaldowski: Because I said earlier the U.S., and then I said, I don't want to say more countries, but so I was trying to go to, okay, if you take the five largest in four, we move from share loss towards the share winning.
Veronika Dubajova: Okay.
Operator: The next question is from Susannah Ludwig with Bernstein.
Susannah Ludwig: I have two, please. I guess, first, I just wanted to follow up on price a bit. Are you able to quantify what the impact of price versus volume was on both your wholesale and your retail business in H1? And then how we should think about it in H2, particularly given it sounds like you're considering selective discounting in the wholesale business? And then second, just thinking about your next product launch. One of your competitors has now introduced to an LE audio-enabled device. How are you guys thinking about the transition from Made For All to LE audio? Is this something we could even see in the next cycle? Or is this something more we could expect in the 2026 product cycle?
Arnd Kaldowski: Susannah, on the AC, we're in a pretty steady progress on pricing, call it, low single digit every year. No drama, no issue. We're not going higher than that. We do get a little bit more money per customer because we start to have higher [tier] ratios on accessories. So you have a little bit of a higher growth in there coming from a broader product portfolio, really just another, call it, 1% or 2% expansion per out of pocket from the customer. But call it, low single-digit. On the Hearing Instruments, we were more in the mid-single digit given the price increases last year with a list price increase and the innovation price increase for Lumity. So that's going to move more predominantly on being more thoughtful on some customers, but at the same time, also the product not getting a lift anymore. That's going to be more in the, call it, potentially negative low single digit. Hard to say exactly at the end. But when you're getting to the second half of your product cycle, you always have a little bit of an erosion relative to what you had before. That's on the pricing side. On the LE audio, we're not too concerned about LE audio, honestly speaking. I think if you look at what you get with Made For All phone, it's almost all of the functionality of LE audio or Auracast, and it works for every end device. So yes, we have the chip technology to do LE audio and Auracast at the right time. We could hit these kind of time lines you're raising. But for us, at the end, it's going to be the question, do we have a device which works for all phones? And there's one functionality missing, which is not as important and direct connectivity and other things we have now with MFA. So I think people underestimate how long it will take until a majority of the end devices are ready. One of the concerns we would have today, connectivity is almost the biggest headache for a hearing care professional because we spend a lot of time helping people to connect devices. And we hear that, that's what they really don't like. They rather help them with the fitting of the hearing aid. But it's a lot of time drain. And so I don't think we're well advised to convert at a point of time in which it's a hit and miss, right? And we're not missing a lot of functionality. So see us being in the good position that we can choose where we want it to be, but not something we think is required in a year or two years from now.
Susannah Ludwig: And is that, I guess, forward looking in the sense of the next device will last people sort of four to five years. You're thinking of sort of what the Auracast rollout is across end devices and then sort of thinking a bit backwards in terms of when people are going to care about having it in their device.
Arnd Kaldowski: I would say the lift of Auracast over MFA is marginal in functionality. So I would think that whoever buys the device, once they have their connectivity when they buy the device and the somewhat incremental functionality is not that important in year three or four or five. There are ways and we're now getting very technical where you can enable a chip technology wise, and then you may be in a position where you can change the mode, not something we have shared. But technically, you're going to see us earlier to chip technology than a hearing aid, but we still run the MFA.
Susannah Ludwig: Okay. Great.
Operator: The next question comes from the line of David Adlington with JPMorgan.
David Adlington: Most have been asked already, but maybe just would be good to get your thoughts, Birgit, on any thoughts around the tax rates going forward, giving Pillar 2? And second, just on the balance sheet again, obviously above the top of your range in terms of net debt EBITDA. Just wondering how you might alter or slow down potential M&A with respect to just getting that back down within your range? Or could you see a potential for changing that range?
Birgit Conix: So I'll answer the last question first. So no, we reconfirm that, that is our range, so 1x to 1.5x. And actually, as we progress through the second half of the year, we expect to be within that range, and that wouldn't be to slowing down M&A or bolt-on M&A. We keep on progressing as planned, actually. So that will be a natural evolution. We typically -- we also have the dividend payment in the first half. So that's why you see the spike to the 1.8x, but that should naturally come down. And then on the [ethics], I wish I would have some insights on where it is going, that would be good. But unfortunately, we can only rely on the data that we have today. And so here, we say we keep on seeing like 6% to 7% on the top line and 12% to 14% on the bottom line, but it really is very volatile. And when you look at it from month to month, which we, of course, monitor closely and you look at the end of the period, then end of period September, we thought, this seems to be better for our mix. And then going then in October, it was again slightly worse. So just concluding that it's volatile. But -- so that's the assumptions that we took at the moment.
Arnd Kaldowski: The question was tax rate.
Birgit Conix: Tax rate. Oh, I thought exchange rate, sorry, I didn't hear it well. So tax rate, sorry to answer another question then. So tax rate is 15% currently from 15.5% that we reported previously. And the improvement is actually due to 1% -- a lowering of 1% in the Swiss cantonal tax rate. And that's what you then see at the group level basically. So that's -- yes. That's it. And then tax rate going forward is your question is -- so for Switzerland, the -- normally, the 15% would normally be implemented beginning of January 2024, but there is still some decisions pending in Switzerland being taken on the 22nd of December. So let's wait for that. But when it comes to effect for us would be fiscal year '24, '25. And then we still have some leeway until 2029 because we also still have deferred tax assets. So there is still under the Swiss -- kind of Swiss tax regime, still some leeway until 2029. So it will not be a major shift for Sonova. Sorry to have answered the wrong question earlier, I didn't hear it.
David Adlington: No problem.
Operator: The next question is from Urs Kunz with Research Partners.
Urs Kunz: Yes, I have three only short ones. First of all, you hinted, Birgit, that restructuring will be about CHF30 million for the whole year. Is that correct? And then the question is, do we have to expect some restructuring also for the following year? Then on the margin side for cochlear implants that went down to 9.5% when you still have this promise of high teens margin in the medium term. Would you still go with that? Or do we only see that high margins when you bring new products while competitors are not bringing new products? And then the last short question on M&A. You said CHF70 million to CHF100 million a year that you would do in bolt-ons. You already have CHF60 million in the first half. Can we read into that, that we be on the higher end this year with M&A?
Arnd Kaldowski: On the restructuring, on the CHF30 million, keep in mind, some of that is not restructuring, it's integration cost on the HYSOUND and still on the Alpaca side, where we're merging two equal-sized organizations. That we don't foresee because there's not a larger acquisition. Also, we're somewhat higher given the Mexicali. So I would expect from everything I know at this point of time that we're meaningfully lower next year, if at all. From the margin on the CI, I don't want to be splitting here. So one good news in the P&L over the last two years is that you may remember we have R&D capitalization in CI, and we are meaningfully paying that back given the processor launch. So our margin in cash terms is actually better than the 9.5%. But most of the deviation this year, yes, there is lower volume, but there's also geo mix. So I think 15% is still a good number. And I think we need to get back there. We were at that number for half a year, I think. It's not dependent on new product. I think we do grow this business. You see the processor now being a little bit of a headwind, but the system sales are coming up that should drive the required volume there. On the M&A side, if we're at CHF60 million, I think it's fair to assume we're going to be at the higher end or slightly above because the bolt-ons come pretty much at a steady pace.
Urs Kunz: Okay.
Operator: The next question is from Robert Davies with Morgan Stanley.
Robert Davies: Most of them have been covered. I just had a couple left. Just first one was on anything you've kind of learned from some of the competitor product launches over the last year in terms of additions to your current platform. I'd just be curious, what are the key focus areas in terms of things you don't think you have at the moment that you would be potentially looking to add in future? And then the second one was just on some of the dynamics you mentioned in the cochlear business around the new processor. Do you have any plans to kind of bring something similar to market at some point in terms of new processor or upgrade? Or I guess, just to kind of get the scene a little bit in terms of what's going on there?
Arnd Kaldowski: Thank you, Robert. On the key focus areas on product, I like -- or we like the elements of the Lumity, particularly if you look at connectivity, we would put ourselves as being ahead. I think we've introduced certain things like waterproof recently. That's still kind of unique to us. I think on the form factors, we now introduced the Slim. I think we're good there. I think it is always a discussion with the next launch, how much can you elevate the speech performance, right? We do think we can do a very meaningful step next year. But that also does take time. It's not something you can easily accelerate. It depends on how you use the chip technology and significant work on algorithms, but also in validation and verification there. I think not to be shared what time line, but at some point of time, our ITE product needs to be improved because that's an area where we're not having the same size as other people, which holds us back in that important but smaller category. On the cochlear implant side, I think we launched two years ago. The product is still seen as very strong because it has the Marvel technology, which in cochlear implant territory is seen as very strong. We're now launching, as we speak, the remote care, which is nicely attached to the Made For All phone. Keep in mind, we're also the only one with Made For All phone connectivity on the cochlear implant processors. So from that angle, we have a leg up there. I think the remote is not important in cochlear implants because people come far more often for adjustments, and secondarily, come from further away because the density of hearing care professional is significantly lower, right?So we do see a lot of positive expectations for a remote. Nobody has remote today as a full remote. People can get some data out of their processor, but we are the first one who can really program the device from a distance, which, again, is the Marvel technology and the Made For All phone and we can do it for our phones. So that's an important one right now going on in the CI business.
Robert Davies: Understood.
Operator: The next question is from the line of Falko Friedrichs with Deutsche Bank.
Falko Friedrichs: And my first question is, where do you see the main risks for this significant acceleration that's implied by your guidance for the second half? And then secondly, where do we stand in terms of profitability of your communications business? And how has that developed?
Arnd Kaldowski: Falko, I think we're still sensitive on market, most importantly. And I think we had our surprises. That's why we call it a volatile environment. I think the improvement in the Hearing Instruments side where we need to see improvements from a Net Promoter Score are quite steady by now in the eyes of the customer, they come every month a little bit better. I think on the Audiological Care, you're more depending on how you can generate leads. And then if you look at the CI and CHB, they're not as big to the total picture. With regard to the communications business, we do not share profitability for individual product lines. But in general, I think our communications business, particularly the Roger always has been a strong differentiator for our hearing instruments because it so nicely connects. Secondarily, it's quite a profitable business. It's above the fleet average in its profitability.
Falko Friedrichs: Okay.
Operator: The next question is from the line of Maja Pataki with Kepler Cheuvreux.
Maja Pataki: I have two general ones and then a bit of a clarification. Arnd, can you talk a bit about AC growth in the U.S.? In your press release and also in the presentation, you highlighted that you had some solid unit growth in the European markets, but you didn't mention anything about the North American market. Is there anything to call out? Or was that in line with market? That's the first question. Second question. Can you talk a bit about the profitability in the consumer business? I remember last year, there were some positive profits coming through. Has that been impacted by growth this time around? Or are you making improvements on the profitability? And then just two clarification questions. I believe you said that you're expecting a negative ASP impact on wholesale in the second half of the year. Is that net-net, so a slight positive impact from the rollover of price increase and mix impact, but the impact from discounts or price concessions integrated? And then lastly, sorry, the line was really, really bad. Can you confirm, are you saying that you have been growing above market in Q2 in five major countries?
Arnd Kaldowski: On the AC growth, we were slower in Q1. We're picking in U.S. We're picking up in Q2. It's part of the Alpaca network, where we have some, call it, voluntary attrition on the hearing care professionals. So that's why we highlighted Europe where we were stronger traveling than in the U.S. relative to market. The good news is we're getting more stability in seeing growth coming back. It's also an area where some of the marketing investments have to go. On the profitability, CHB, I don't want to go into business unit reporting here. I think some puts and takes there in the P&L. The lower volume makes it harder. I think at the same time, we've seen more on the true wireless and revenue in the first half year, which was a mixed headwind. We're making some progress in the improvements we're doing on the operations side there. O the ASP year-over-year, I think we did the price increases with the Lumity launch, and in July, they are now annualized, right? We have not done other list price increases. And we talked about that in certain accounts, we're dialing it back. So you would expect that the ASP year-over-year is flying somewhat lower in the hearing instruments than last year at the same period. Hence, I was commenting on some year-over-year headwind on the pricing in that low single-digit environment. On the growth side, I said we're moving quarter-over-quarter to winning share. That may not mean year-over-year yet because we had, including the contract, some losses over the 12 months. So what I was trying to express is that in four out of five of the largest regions where we track, we're seeing market share gains from the Q2 market share to the Q3 calendar market share number.
Maja Pataki: Got it. And maybe just last one, if I may squeeze it in. You've mentioned that part of the investment -- additional investment this year are in -- either investments in lead generation, as you see good growth opportunities. What makes you confident that this is a temporary situation and not that the growth opportunities that you see will call for longer-term or longer-lasting investments into lead generation.
Arnd Kaldowski: So I think we are learning as we're getting better in measuring those things. We have less advertising and promotion per revenue than what we had last year. We would expect that it -- even with the increased investment, we would expect that it improves further if the consumer confidence in the total market, not just for hearing instruments improves, because at the end, the pressure comes from higher cost for the same ad because more people are going after the space in the ad environment. We do see very low no-show rates, which was last year elevated. So we've seen a good improvement that people who have an appointment do show up. So it's in reality really supply/demand in marketing spend relative to other people who [won't] get the space. And I would believe if the regular retailers see more pickup of revenue, ultimately, they are not overdriving marketing spend. But we don't have evidence for that. Good news, it's lower than last year, but we had a hope for a better improvement.
Maja Pataki: Great.
Thomas Bernhardsgrütter: Any closing remarks, Arnd?
Arnd Kaldowski: No, I would say, we said everything. I think we are encouraged by the momentum we have in the Hearing Instruments business. We do definitively like the good performance of the Audiological Care side. We do expect a good pickup in growth first half versus second, not unexpected from how we thought the year will play out. There's certainly some volatility in the market. But as you can see also from what we shared today, we're making sure we provide the right investment level even if that takes us to a place where the profitability goes down a little bit, still want to see the margin expansion, but I want to make sure we really do the right things from a top line perspective.
Thomas Bernhardsgrütter: Thank you very much, Arnd. Unfortunately, we couldn't take all the questions, so feel free to reach out to the Investor Relations team if you have any further questions. And with this, we end our call.
Operator: Ladies and gentlemen, the conference is now over. Thank you for participating in the conference. You may now disconnect your lines. Goodbye.